Operator: Welcome to HollyFrontier Corporation's Fourth Quarter 2020 Conference Call and Webcast. Hosting the call today from HollyFrontier is Mike Jennings, President and Chief Executive Officer. He's joined by Rich Voliva, Executive Vice President, and Chief Financial Officer; Tim Go, Executive Vice President and Chief Operating Officer; Tom Creery, President, Refining and Marketing; and Bruce Lerner, President, HollyFrontier Lubricants and Specialties.
Craig Biery: Thank you, James. Good morning, everyone. Welcome to HollyFrontier Corporation’s fourth quarter 2020 earnings call. This morning, we issued a press release announcing results for the quarter ending December 31, 2020. If you would like a copy of this press release, you may find one on our website at hollyfrontier.com. Before we proceed with remarks, please note the safe harbor disclosure statement in today's press. In summary, it says statements made regarding management expectations, judgments or predictions are forward-looking statements. These statements are intended to be covered under the safe harbor provisions of federal securities laws. There are many factors that could cause results to differ from expectations, including those noted in our SEC filings. The call also may include discussion of non-GAAP measures. Please see the press release for reconciliations to GAAP financial measures. Also, please note any time-sensitive information provided on today's call may no longer be accurate at the time of any webcast replay or rereading of the transcript. And with that, I'll turn the call over to Mike Jennings.
Mike Jennings: Thanks, Craig. Good morning, everyone. 2020 was an unprecedented year for HollyFrontier. And faced the extraordinary challenges created by the COVID-19 pandemic, HollyFrontier persevered and took important steps to strengthen our business in both, the short and long term. We controlled what we could focusing on the fundamentals of the business, maintaining a disciplined approach to capital allocation and continuing our efforts to further enhance reliability, safety and efficiency. We made key investments in renewable initiatives that will enable HollyFrontier to capture new opportunities as our industry evolves. And our lubricants business realized strong earnings in the second half of the year, despite the global pandemic. We ended the year with a strong balance sheet, healthy liquidity and high-quality assets that position us to capitalize on our competitive advantages. Looking ahead to ‘21 and beyond, I believe HollyFrontier is well-positioned for long term success as our core businesses rebound and we continue our expansion into renewables. 
Rich Voliva: Thank you, Mike. As previously mentioned, the fourth quarter included a few unusual items. Pretax earnings were positively impacted by a lower of cost or market adjustment of $149 million, partially offset by goodwill and long-lived asset impairment charges totaling $108 million. In addition to costs related to the Cheyenne Refinery conversion to renewable diesel production. These costs include the decommissioning charges of $12 million, LIFO inventory liquidation costs of $3 million and severance costs totaling approximately $300,000. A table of these items can be found in our press release. Cash flow from operations was $67 million in the fourth quarter, which included $21 million of turnaround spending, and $93 million of working capital gains. We were successfully able to draw down inventory in the fourth quarter to better manage working capital. HollyFrontier's standalone capital expenditures totaled $97 million for the quarter and $271 million for the full year of 2020. As of December 31, 2020, our total liquidity stood at approximately $2.7 billion, comprised of a standalone cash balance of over $1.3 billion, along with our undrawn $1.35 billion unsecured credit facility. As of December 31st, we had $1.75 billion of standalone debt outstanding with debt to cap ratio of 25% and a net debt to capital ratio of 6%. During the fourth quarter, we declared and paid a dividend of $0.35 per share, totaling $58 million. HEP distributions received by HFC during the fourth quarter totaled $21 million. HollyFrontier owns 59.6 million HEP Limited Partner units, representing 57% of HEP's LP units with a market value of over $950 million as of last night's close. Looking ahead, in the first half of 2021, we anticipate recovering $50 million to $60 million in cash tax benefit from carryback of a net operating loss under the CARES Act, and an additional $21 million to recover estimated tax payments that were made during 2020. With respect to capital spending, we have slightly increased our guidance for 2021, specifically in our renewable segment to account for the timing of invoices from 2020 into 2021. We now expect to spend between $520 million to $550 million in renewables versus our original guidance of $500 million to $530 million. We still expect to spend between $190 million and $220 million for capital at HollyFrontier Refining, $40 million to $50 million and HollyFrontier Lubes & Specialties, and $320 million to $350 million for turnarounds and catalysts.
Operator: And the floor is now open for questions.  Our first question comes from the line of Manav Gupta with Credit Suisse.
Manav Gupta: Hey, guys. So, I think, when you envisioned the PCLI business, one of the key goals was that Rack Back should break even on EBITDA and then Rack Forward should generate the positive EBITDA. So, in terms of Rack Back, I think, you have achieved your goal in this quarter. Rack Back was neutral. Just trying to understand, on the Rack Forward side, 4Q was good, but 3Q was better. And so, from a runway perspective, and again, we’re thinking about the first half of 2021, would 3Q run rate on for Rack Forward be a better guidance or a 4Q could be better guidance, specifically, as it relates to Rack Forward?
Rich Voliva: So, Manav, it’s Rich. So, a couple of things happened in the fourth quarter. Keep in mind that there's always a little bit of a lag here for base oil prices obviously rose throughout the fourth quarter. And we had to absorb that on the Rack Forward side. So, that did impact the quarter. And there is also always some annual seasonality around year-end period. So, that really drove the two things we can point to in the fourth quarter. I think, to your point, demand is very strong. But we're -- as Mike said, we cannot issue guidance at this time, because we are still seeing obviously a lot of volatility in the market. So, again, in the long run, I’d take you back to our expectation that we're going to do $250 million to $300 million of EBITDA in this business, and that's our long run belief.
Manav Gupta: And a quick follow-up there is, Rich, I think, when you had first come up with the prospects of expanding renewable diesel business, you had kind of given out a range of returns that you expected. Now, since then, a few things have happened. Ultra-low sulfur diesel prices have moved up as the global economy has recovered, as crude has moved up, RIN prices have moved up significantly, but so have the feedstock prices. So, I'm just trying to understand from the perspective of the return, has there been any change on the HollyFrontier’s -- on their internal rate of return calculation, considering the three parameters that moved in different directions?
Tom Creery: Yes. Manav, this is Tom Creery. Yes. We have seen that in the marketplace and we put that into our models and taken a look at it to see what the profitability and earnings would be on a go forward basis. And we don't really see that much variation in regard to what's happening now as to what our original plan was. Maybe I could sum it up as rising tide lifts all boats, but we have seen soybean oil go up in price, we've seen RINs go up in price, we've seen fats, oils, everything is going up in price along with crude oil and RINs as well. So, the other piece of that is, there's now probably an expectation that the blender’s tax credit persists for longer than just 2022. And that was not baked into our original outlook. So, overall, higher at least because of that. When we did our initial modeling, we only took blender’s tax credit to the end of '22 and then forecasted zero thereafter.
Manav Gupta: And if blender’s tax credit is extended, which most likely will be, considering the stance of the Biden administration on their new bills, that saves $210 million of EBITDA to you, right? 
Tom Creery: That is correct. Yes.
Manav Gupta: Thank you for taking my questions.
Operator: Our next question comes from the line of Ryan Todd with Simmons Energy. Go ahead, please. Your line is open.
Ryan Todd: Great, thanks. Maybe a follow-up on the renewable diesel business. I guess, quickly, what was the driver of the upward revision to CapEx for this year? And then, as you move closer to completion and the R&D plants, can you talk about some of your ongoing efforts to establish supply chains on the feedstock side? Are you in conversations with feedstock aggregators, particularly for low PIP stocks? And can you talk a little bit about your confidence in your ability to efficiently access a range of feeds that your feed shipment  will allow?
Rich Voliva: Hey Ryan, I'll -- let me do the capital number. I’ll hand it to Tom to speak to your other questions. So, on capital, really it’s the timing of some of these invoices and the cash flows being in '21 versus late '20. So, to give you some color here, we ended up spending about $120 million in 2020, instead of our guided 130 to 145. So, we're about $20 million short of cash out the door in '20. And hence our guidance for '21 has gone up by about that number. But, really just timing.
Tom Creery: Good morning, Ryan. In regards to your question about what agreements we've entered into and are looking at. Yes, on the feedstock side, we've been talking to local tallow guys, as well as other feedstock providers of soybean oil, and degummed soybean oil, soybean oil with both refined and degummed as well as other feedstocks, including corn oil. We've got one agreement in place in terms of the feedstocks already inked up. And then, on the offtake agreement, we have several contracts that we have entered into for disposition to California, as you could well imagine at pricing that is very favorable in our opinion as we go forward. So, we're in pretty good shape. We also -- we've been talking to co-ops, we've been talking to just about anybody rendering plants, anybody that has feedstock available for supply issues. And part of the problem on the feedstocks that we're seeing is that it's difficult to enter into some of these agreements when we're still 10 months away. And some of these things will happen a lot faster, as we get closer to completion, both mechanical and operational. And they see that we're there to do business.
Ryan Todd: Great, thanks. I appreciate that color. And maybe switching gears to the refining side. I mean, refining margins are obviously up significantly year to date, and although RIN pricing is probably going to cut into some of that. I mean, can you talk about what you're seeing out there and what your outlook is for the next couple of quarters in terms of gasoline and distillate market dynamics?
Tom Creery: Sure. In terms of gasoline and other refined products, diesel, before we went into this polar vortex situation, we were pretty pleased where demand was going. In gasoline, I would say that our best recovery has been in PADD 4  gasoline. And probably the worst, and it hasn't been that bad was group 3, when we compare it to 2019, the demand was probably off 4% or 5% in total. So, that's not much of a decrease compared to 2019. Distillate on the other hand, we were very pleased with distillate. It was at or higher than all 2019 levels. So, distillate was in good demand. In terms of crack, it's hard to forecast that on a go-forward basis. But, we would expect crack to improve as we get into the driving season, as well as the ag season, as they start to plant crops again with what we're seeing in crop prices, whether it be soybean, corn or anything else. I think, the farmers will be busy this summer. And with the relaxation of COVID and vaccinations, more people will be moving around both by car, truck and hopefully by airplane. So, that should help in terms of crack as we move forward.
Operator: Our next question comes from the line of Paul Cheng with Scotiabank. Go ahead, please. Your line is open.
Paul Cheng: I was just curious that when we’re looking at the amount of renewable diesel plant budget, do you think that's going to be at the high end of the range. So, what does the reach factor end up when they see much higher than the budget? If we recall, say, a number of years ago when you did the major  expansion and upgrade in the Woods Cross and the capital cost turned out to be much higher than the original budget. So, what's the risk factor here, and how big is that risk?
Mike Jennings: Paul, you have a long memory. So, I'll address that. Look, the risk -- we provide a range for these capital projects. And as more engineering is completed, that range tends to narrow on a single number, leaving basically field construction as the principal risk factor for which we provide a contingency. At present, we’re at the high end of our range as we've completed most of our engineering and are ready to basically start issuing what we call, IFC ISOs, but basically typing circuits for construction to start taking them out to the field. So, we're quite far along in terms of the engineering and initial phases of construction. So, we're getting more confident and at the same time narrowing our range, but at the higher end. If we want to contrast it to a project from years ago, the issue was simply the engineering wasn't done prior to making a finer point estimate. And as the engineering evolved, the project grew. So, these projects are fairly distinct from that. We're following the stage gate process. And we're really near to ordering. We've ordered all the hard -- heavy equipment, the major equipment, if you will, vessels, compressors, et cetera. So, we have fixed prices on all that. The engineering is largely complete. And what's in front of us is field construction. There's some risk around field construction during COVID. The COVID numbers are down, and that's good, and we've added the estimates to reflect different practices to maintain a safe workforce.
Paul Cheng: And second question is on the lubricant. The last several years of the ownership, I think we went to same site from time to time, the Rack Forward looked really good and then Rack Backward was challenging. This quarter, the Rack Back finally is in breakeven, and Rack Forward, on the other hand, margin goes down. So, I mean, still we need truly believe this is a business that we can generate $250 million to $300 million in EBITDA? I mean, in hindsight, is that something that we have learned over the last several years that perhaps maybe different than your original expectation to make you to either that more optimistic or more pessimistic about this vision? And do we really have the necessary skill and organization and the people to really make this as a profitable business for you?
Mike Jennings: The short answer is yes. We have a really talented team running this business, Paul. I think, the big difference between expectations and reality through the last couple years has been a commodity base oils business that went through a deep recession, okay? And when you get to 1 or 2 cracks versus back in gas oil of $10, $11 a barrel, that was not our expectation, and that's not a healthy margin for the industry. The team that we have in place understands the business is capable of growing the Rack Forward business to finish lubricants and specialist business intelligently in the markets where we have advantage. And the base oil piece appears to be more constructive now. That's going to be the commodity part of the business. It'll be more volatile through time. Today's dynamic is actually really favorable. So, I would guess I'd caveat it and say the base oils will be variable, and we'll continue to grow our effectiveness in margin in Rack Forward.
Paul Cheng: I thought that Exxon is going to add a quite substantial sum of base oil in a couple of years’ time.
Mike Jennings: I think we've seen that Rotterdam and on the Gulf Coast, Paul. What continues to come will depend on their own investment plans, but for the time being, I think, we're pretty stable.
Operator: Our next question comes from the line of Phil Gresh with JP Morgan.
Phil Gresh: The first one is just on, if we look at refining and the capture rates there, any color you could share just on the impact of RINs, whether it's just kind of the ongoing expense effect or some kind of mark-to-market? Obviously, RINs going up 4Q over 3Q I'm sure impacted the capture rates there. And then, what in your view that where RINs will go? I feel like we're getting into question a lot. Do you think as renewable diesel starts up, we start to see RINs prices dissipate later this year and into '22?
Rich Voliva: Hey, Phil, it's Rich. Let me do -- the capture, in fact, to be honest, it was not that big in the fourth quarter. Please keep in mind that we use a weighted average inventory cost methodology here. So, our RIN cost will lag the spot market. So, our RIN expense in the fourth quarter was about $40 million versus $34 million in the third quarter. And let me hand this to Tom and Tim to talk about the market outlook.
Tim Go: Phil, this is Tim. Let me just mention on the Mid-Con capture as well. We had at year-end revaluation of costs that Mike mentioned in his opening remarks. That was $32.5 million specifically in the Mid-Con that impacted the gross margin, translates to about $1.39 a barrel. And so, without that inventory valuation, the capture rate would have been 45% for the Mid-Con. So, the total of -- 3.32 on general gross margin. We also had some lower gasoline margins that further impacted the capture contribution in the return. And as you know, when cracks are lower, the percent of fixed costs tend to impact the capture rate more so than when cracks are higher. So, those were the issues that were affecting the Mid-Con. On the West side, demand was more impacted in the fourth quarter by COVID with the hotspots in that area, in the Southwest area of the country. So, gasoline margins were specifically impacted on margin contribution probably more than normal. We also had higher laid in crude costs that impacted the margin capture in the Southwest.
Tom Creery: So, Phil, I get that dubious distinction of trying to figure out where RINs are going this year, so. But what we've seen -- let me start by saying what we've seen in the market so far. I think, when you say why are RINs rising, I think, it’s our opinion that without SREs and with declining gasoline demand, there is a fear in the marketplace that we're going to be short of reaching the 15 billion gallons of D6 RINs that are required. And as a result, what's going to happen is the people are going to start using D4s to retire D6 obligations. And we can see that in the marketplaces, because D4 -- D6s are climbing, getting closer to D6 all the time that the spread is a lot less than it was before. So, then that maybe the question, what the hell's happening with D4s? And that's a lot to do with rising soybean prices and the soybean price has been going up. What we've seen is on bushel barrel -- bushel basis, it's gone from $9 to $14 a bushel, and that's basically because of China. And as they replenish their pig population from the swine flu outbreak, they're having a higher demand of soybean. We're also seeing some weather impacting South American supply. So going forward, there's a lot of that is already baked into the market. And those are the main factors that driven the wind price to where it is now. I think, in the event that we get more gasoline demand, and there's more D6 RINs generated, as a result, what's that's going to do is increase the supply and help temper the prices from going any further on the D6s. And then, the D4s are just going to do their own thing on the basis of the BOHO spread as it moves forward. So, that's going to be more of a relationship-driven than a political decision at this point in time. So, I think, we've seen big increases on the D6s and the D4s to date. I don't think, we're going to see those kinds of increases as we go through the year, as a lot of these factors are already built into the marketplace.
Phil Gresh: Rich, just to clarify with the lag effect, do you have an estimate or expectation of if prices stay where they are with what the rent expenses would be in 1Q or 2021?
Rich Voliva: No. It would trend higher. Assuming a lot of it revolves around volume and blend rates. But directionally, right, you'd expect it to trend higher with higher spot prices.
Phil Gresh: Okay. And then, you need the throughput for 1Q, other companies have talked about OpEx headwinds from higher natural gas. Are you seeing any of those types of impacts on the refining side at this point or more muted for you guys, or just any color there would be helpful?
Tim Go: Yes. So, this is Tim again. Our Mid-Con plants, we're actually in part of the coldest temperatures associated with storm and the polar vortex. Tulsa was already in planned maintenance. And so, the storm effects will basically just extend the downtime that we had there a little bit longer. Other than that, the other plants had some individual unit outages that occurred. But two of the plants are completely back to normal. And the third one would be back to normal later this week. So, the guidance of 350,000 to 380,000 barrels a day that Mike mentioned in the prepared remarks reflects both, the impact and the planned maintenance, as well as the unplanned cold weather impacts.
Phil Gresh: And would there be specific natural gas price effects that you would anticipate as well?
Rich Voliva: Not one that we call out, Phil. I mean, these were extreme spikes rate, but they are very transitory. So, not -- nothing we’d offer now as guidance.
Phil Gresh: Thank you.
Operator: Our next question comes from the line of Theresa Chen with Barclays. Go ahead, please. Your line is open.
Theresa Chen: Good morning. I wanted to turn back to the LSP segment. And if you could share further in terms of details related to end market demand beyond what you're seeing in industrial and transportation, how is the personal care second point? And what is your outlook in terms of -- from here what needs to happen for you to issue guidance? Again, is it just a matter of volumes, turning to a more normalized level, is it something else? Any color there would be great.
Bruce Lerner: So, good morning. In terms of the traditional demand markets for personal care and pharmaceutical and those related, food also type market, demand is very robust. We have high asset utilization in both facilities, actually all three facilities, making those products which encompass soy oils, petrol and waxes. So, demand remained very robust and really was not heavily impacted by coronavirus in the same way that refined gasoline and diesel and so forth were. In terms of any questions related to guidance, I hand it to Rich to follow on.
Rich Voliva: As Bruce mentioned, things are getting better, kind of similar to what we're seeing everywhere. We expect it to get better as the coronavirus restrictions on the economy are lifted here.
Theresa Chen: Got it. And in terms of the weather impacts, just following up on Phil's questioning, I don't believe Salt Lake was impacted, in particular just from your earlier call on the midstream entity. The questions would be around what implications does that have on capture for that area if you were able to really increase throughput during that time and take advantage of the wider cracks?
Tim Go: Salt Lake City was the least impacted in terms of temperature and impacts from the storm. Salt Lake City is running normal and will continue to see maybe a slightly stronger demand as a result of the storm. But, it's probably isolated more so from the Gulf than probably what you're thinking.
Rich Voliva: Yes. Theresa, it's Rich. To Tim's point, when he said Salt Lake is impacted, the entire valley was unimpacted. Right? So, there was really no market dynamic work there, good or bad, frankly, from the storm.
Operator: Our next question comes from the line of Matthew Blair with Tudor Pickering Holt. Go ahead please. Your line is open.
Matthew Blair: Can you talk about how construction is progressing on the renewable diesel side? Is it impacted by this winter storm? And exactly what are you thinking in terms of startups for -- I guess, Artesia, RD, as well as the pre-treatment unit?
Tom Creery: Good morning, Matt. It’s Tom. Looking at Cheyenne, Cheyenne was in the middle of a Wyoming winter and it wasn't much different than it is every other year up in Cheyenne. And it wasn't as affected to any great degree by the polar vortex that hit the middle part of the country. So, transfer -- construction is going well. We are moving dirt, we're putting -- we're leveling for the rail facilities to go in. We've got a lot of the permits in place. So, we don't expect any delays from that standpoint, as we move forward on construction. And then, Artesia, there again, there was some effects of the winter storm, but nothing major. We are proceeding with construction, tanks are going up. Rail lines are going in. We're making good progress. We are on schedule. And to your ultimate question, we don't see any deviation from meeting the schedule as previously released at this point in time.
Matthew Blair: Sounds good. And then, on the refining side, your West OpEx came in, I believe at $97 million without Cheyenne. Is that a good run rate that we can roll forward into 2021?
Tom Creery: Yes. Matt, we saw a little bit of a higher natural gas price in the fourth quarter than probably what we would have seen in the third quarter. We had a few year-end accruals that hit us as we typically do at the end of the year. So, maybe it was a little bit higher than what we'd normally see on a normal run rate basis. But, that's probably where it comes.
Operator: Our next question comes from the line of Doug Leggate with Bank of America. Go ahead, please. Your line is open. 
Kalei Akamine: Hey. Good morning. This is Kalei on for Doug. A lot has already been hit here. But, I’ve got a couple. So, as you guys thought about your renewable diesel sourcing strategy,  broadening of your own plant-based feedstock, which . And if you guys have thought about that, what are the pros and cons?
Tom Creery: Yes. This is Tom Creery. Quick answer is yes. We have looked at going upstream. We've looked at crush plants and what involved in there, but we basically stopped at that point in terms of soybean. I think, it would be a stretch for us to get into farming or the rendering of cattle at this point in time. So, we would rather -- don't want to go too far upstream. But, we do -- like I said, we do -- have looked at crush plants. And if that's going to be a constraint going forward, it would be something that we might invest in. Because it's part of the value chain in our business. So, I think that’s what we’ve looked at so far.
Kalei Akamine: Can you also provide an update on the sustaining capital, including the renewable diesel plant? 
Rich Voliva: So, Kalei, generally sustaining capital, we continue to see that as call it $175 million, $200 million a year across the corporation with a lot of volatility, obviously driven by turnaround schedule. So, five-year cycle, that would probably be the average. The reality is the renewable diesel business will not add a lot in terms of sustaining capitals. Turnaround costs are relatively minor. You do have catalysts change from a similar cycle to a refinery, but it doesn't look anything like turnaround of fuels refinery.
Kalei Akamine: Yes. 
Rich Voliva: Sorry. You're breaking up, Kalei.
Kalei Akamine: The $175 million to $200 million  correct?
Rich Voliva: Correct.
Operator:  Our next question comes from the line of Jason Gabelman with Cowen.
Jason Gabelman: Two questions. One, just on the working capital benefit that you mentioned in 4Q. What drove that, and is that a durable benefit or do you try to reverse over the course of '21? And then, the second question, just on going back to the renewable diesel business? Is there a desire or an interest to sell some of the stake in renewable diesel plants? And maybe as you get closer to completion, just kind of offset from some of the capital costs, and maybe that could be another angle to helping secure advantage feedstock?
Rich Voliva: Hey Jason, it's Rich. Let me speak on working capital. So, in the fourth quarter, obviously, we managed inventory really well and ran some barrels down. We had the tail end of Cheyenne inventories, which is a permanent reduction, obviously. We'll continue to stay very vigilant, given the macroeconomic situation, our cash flow on working capital, realistically, right, any rising crude price environment, you're going to see working capital benefit. So, we're optimistic about the economy, a year ago we would expect crude prices to rise and a year ago we expected to continue to see working capital benefits.
Tom Creery: Jason, on the renewable portfolio side, we're proud of this investment and committed to building it out, developing this as a part of our Company. At the same time, we're capitalists and we're conscious that these things trade at a high multiples. So, we're going to evaluate that through time. I think, what we know to be fact is that we need to complete the projects, get them up and running and demonstrate the value before we have any real alternatives to separately recognize that value other than as a part of HollyFrontier Corporation. So, for the time being, we’re in the mode of building this business, building the commercial and supply chain aspects of it, and obviously securing feedstocks and markets. And we're really not spending any time looking to sell it at this point.
Operator: Our next question comes from the line of Neal Mehta with Goldman Sachs.
Neal Mehta: First question is just around HEP and midstream and less about whether you want to fold this in, and just more about the strategy around the midstream business over the next couple of years. Is the goal here to basically run the business for free cash flow, pay out the distribution, not necessarily focus on the top-line, the top-line opportunities here as well?
Rich Voliva: Hey Neal, it’s Rich. No, I think, we're in a interesting position right now in the midstream business and generally industry. So, our near-term, call, for the next 12 to 18 months focus here is getting the Cushing Connect Pipeline up and running, and then continuing to delever to get to our leverage target of 3 to 3.5 times. We think that's going to put us in a great position then to have flexibility to either increase distributions, repurchase units, or if there are opportunities to grow the business, go ahead and pursue those. We'd like to grow the business. The reality, right, is the midstream space was incredibly frothy the last five years. And it feels like we're coming out of that. So, we're optimistic there'll be opportunity. But, the good news is, if there isn't, we don't see an opportunity to grow that creates unitholder value, we'll go ahead and increase distribution.
Neal Mehta: And the follow-up here might be for Tom, but just your outlook on key crew differentials. What's your perspective on Brent WTI? Do you see a path for this to the sustaining in the $3 to $4 level, or do we need U.S. production as refining utilization comes back with demand post the freeze off? And then, thoughts on WCS where there are a number of competing forces between OPEC barrels coming back but also line of sight coming on?
Tom Creery: Brent/TI, Neal, I think what we're looking at is probably that 3 to 3.50  in the short to medium-term as we move forward. And a lot of this is going to have to do not only on the Brent TI differential, but on the WCS differentials is what happens with OPEC and the quotas as we move forward. I guess, our expectation is WCS differentials probably trade in the range of $11 to $14 for the remainder of this year. And particularly, what we've seen on WCS is we've seen the rise of rail movements out of Alberta in the fourth quarter and into the first quarter. So, that's going to put us an artificial floor or a real floor on differentials, because of rail economics and getting into the Gulf Coast. So, we still see pretty good demand numbers and pretty good delivered prices in the Gulf Coast. And that's partly due to the OPEC and Venezuela situation. So, that's what we're looking for as we move forward. And just to finish that off on Midland and crude differentials, we see that continuing to trade over Cushing anywhere from $0.50 to $1 for the remainder of this year.
Operator: There are no further questions at this time. I'd like to turn the call back over to Mike Jennings for some final comments.
Mike Jennings: Great. Thank you very much. And thank you all for participating with us this morning. In summary, HFC is really well equipped with its investment grade balance sheet, $2.7 billion of standalone liquidity and then really ready to stage a comeback in our core fuels business. Our lubricants business continues to show strength and resiliency, has posed another solid quarter of earnings and is operating really in a favorable base oils environment. And finally, we're progressing on renewables projects across the board, which are going to further diversify our asset base, strengthen our earnings power and allow us to participate in a new and I think very lucrative market for the long term. So, thanks for participating today. I look forward to talking to you soon.
Operator: Thank you. And this does conclude today's teleconference. Please disconnect your lines at this time. And have a wonderful day.